Operator: Ladies and gentlemen, thank you for standing by, and welcome to Anthem’s First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode.  As a reminder, today’s conference is being recorded.
Steve Tanal: Good morning and welcome to Anthem’s first quarter 2021 earnings call. This is Steve Tanal, Vice President of Investor Relations. And with us this morning on the earnings call are Gail Boudreaux, President and CEO; John Gallina, our CFO; Pete Haytaian, President of our Commercial & Specialty Business Division; and Felicia Norwood, President of our Government Business Division. Gail will begin the call by giving an overview of our first quarter financial results, provide an update on our response to the pandemic and touch on our updated financial guidance before turning the call over to John, who will discuss our financials in greater detail. We will then be available for Q&A. During the call, we will reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available on our website, antheminc.com. We will also be making some forward-looking statements on this call. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond the control of Anthem. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to carefully review the risk factors discussed in today’s press release and in our quarterly filings with the SEC. I will now turn the call over to Gail.
Gail Boudreaux: Good morning, and thank you for joining us today for Anthem’s firsts quarter 2021 earnings call. This morning, we reported first quarter GAAP earnings per share of $6.71 and adjusted earnings per share of $7.01, reflecting growing momentum in our business despite the challenges of the environment. When we came together for this call a year ago, we were only just beginning to understand the scope of the COVID-19 pandemic and its implications for health care. Over these last 12 months, I'm incredibly proud of how we've led during a period characterized by uncertainty. From day one, we partnered with local state and federal officials to ensure our members were prepared with the resources and support they need to navigate through the pandemic. In 2020, our associates logged more than 110,000 volunteer hours and more than 17,000 hours so far in 2021, addressing critical issues in their local communities, such as food insecurity, and social isolation. Our efforts have recently shifted from a focus on treatment and testing to vaccinations. We recognize that we play a critical role in the fight against the pandemic, and in ensuring safe and equitable access to vaccines in our communities. Through our multi-channel approach, we've been able to reach nearly two-thirds of our members with information regarding where, when, and how they can access COVID-19 vaccines in their own communities, including coordinating in-home vaccinations for our homebound members, while covering vaccine administration costs for our commercial members with no out of pocket cost sharing.
John Gallina: Thank you, Gail, and good morning to everyone on the line. As Gail mentioned earlier, we reported strong first quarter results, including GAAP earnings per share of $6.71 and adjusted earnings per share of $7.01 growth of over 8% year-over-year. Our first quarter results reflect the execution of our enterprise strategy, while continuing to navigate through the pandemic.  We ended the quarter with medical membership totaling 43.5 million members, an increase of 1.4 million lives, or 3.3% year-over-year, despite a challenging macroeconomic environment. Our risk-based membership grew by 1.8 million members over the prior year quarter, driven primarily by organic growth in Medicaid, aided by the suspension of re-verifications. In addition, our Medicare Advantage membership grew by 197,000 lives or 15% year-over-year, in-line with our expectations, and on track to achieve low double digit growth for the full year. This growth was partially offset by negative in-group change within our commercial fee-based business, which was to be expected given the economic challenges presented by the pandemic. From a membership reporting perspective, please note that we have changed our presentation to delineate commercial risk-based and fee-based membership, and included a table looking back to the first quarter of 2020 in our press release for modeling purposes. Our overall growth in membership despite challenging economic backdrop reflects resilience and value of our core benefits businesses as our significant presence in both commercial and  continue to complement one another well. First quarter operating revenue of $32.1 billion increased 9% over the prior year quarter or approximately 11% when excluding the impact of the permanent repeal of the health insurer fee. Growth was driven by higher premium revenue in Medicaid and Medicare and growth in our pharmacy product revenue. The medical loss ratio for the first quarter was 85.6%, an increase of 140 basis points over the first quarter of 2020 driven by cost associated with COVID-19, including testing and vaccine administration cost, and to a lesser extent, the permanent repeal of the HIF.
Operator:  Our first question will go to the line of Justin Lake from Wolfe Research. Mr. Wolfe, please go ahead.
Justin Lake: Thanks. So, a couple of quick numbers questions here. First, PYD and reserves in the quarter, you had  of 1.5 billion significantly above typical, but reserves actually grew despite that. So, I was hoping you could give us some color on, you know how that impacted the quarter? And then, you know, the Biden administration has been making a significant changes to the exchanges in Medicaid that would seem to drive membership growth, I was hoping you might be able to give us some color on how you think the benefit might be here and the potential offset against the future restart of re-determinations in Medicaid by the states at some point? Thanks.
John Gallina: Thank you for the questions, Justin, and good morning. This is John. So, I'll start out with the reserve question in the prior period development, you know, the $1.5 billion number looks like a big number, but you know, please note that the presentation is on a gross basis. And that number in a vacuum can be somewhat misleading. You know, a large percentage of that release will never hit the income statement.  I'm sure you know that as reserves are released, you know, some of the items impact MLR rebates and collars, risk corridor calculations, and we're funding mechanisms with some of our contractual provisions. But most importantly, we believe that we have reestablished the reserves to be uncertainty associated with COVID. And, you know, consistent with that maybe a question, you know, I will affirm that we believe that there is no net benefit to the first quarter associated with the PYD that was going through the statements this quarter, .
Gail Boudreaux: Hi Justin, this is Gail, thanks for that question. In terms of the exchanges, we are pleased about the extended open enrollment and feel that while we're in the midst of it now, we feel that there will be some solid membership growth in the individual exchanges. In addition, though, to your second part of the question, how does that affect re-verification? I think at this stage, it's very hard for us to see our assumption is that re-verification remains on hold through all of 2021. You know, we do have a balanced portfolio. We've shared that a number of times and the mix serves as a natural hedge for us. But as we look at, you know, the growth inside of our Medicaid business, we've not really seen a significant amount of individuals coming from the commercial market into Medicaid at this stage. Some of that just may still be the timing and people are still on their employer plans, etcetera. But at this stage, we haven't seen a significant growth in Medicaid. It's been predominantly through e-verifications. The other thing I just want to note is that we don't really see a cliff event in 2022 as we work with our states, even as re-verification will go away in 2022. We see that as much more of a gradual approach as our states think about continuing to keep people on the Medicaid rolls. So thanks very much for the question, and we'll go to the next question.
Operator: Next, we'll go to the line of Matt Borsch from BMO Capital Markets. Mr. Borsch, please go ahead.
Matt Borsch: Yes, can you hear me?
Operator: Yes, I can.
Matt Borsch: Okay, sorry. I just wanted to ask a question on your utilization management program. Specifically, what I'm referring to, we're hearing what seems to be some apparently sort of intense pushback from the hospital providers regarding what they're describing is your push to drive outpatient services off the hospital campus to less expensive freestanding locations? I'm not really familiar with what you're doing here. But I know, I think I understand you're not alone, other plans are taking similar actions. I'm just curious about how you're handling the blowback from hospitals? It's all financial and what they claim is related to quality of care.
Gail Boudreaux: Thanks for the question, Matt. I think that there's a lot in there and not just specifically to, you know, your question on hospitals. You know, first and foremost, our focus is on really implementing value-based care and ensuring that our care providers really are in the driver’s seat of right place, appropriate place of service etcetera. As I think about your specific question, however, we are looking to work with our hospital providers, as well as our outpatient facilities to ensure that patients are in the right place of care with what's happened in the pandemic. Clearly, our patients were more concerned about being in the hospital settings. That allowed us to enable that we supported outpatient care and outpatient settings more specifically. And so, so we have implemented those policies, we had them in place before. So, this isn't new, but I think it's accelerated with the pandemic, as patients have become much more comfortable in those settings, as well as the access has been greater for individuals. So, in terms of the overall model, our focus again is on affordability, trying to drive affordability, make sure that it's appropriate care at the right place and right setting that's been specific. And it ties very much to our value-based model, where we work closely with our local physicians. So, it's not just Anthem doing this through , it's really part of embedded in our value-based value based programs with physicians. So, thank you very much for the question. Next question.
Operator: Next, we'll go to the line of A.J. Rice from Credit Suisse. Mr. Rice, please go ahead.
A.J. Rice: Thanks. Hi, everybody. I might just ask, sounds like working with the other Blues, this launch of the high performance network you're talking about? And the savings you're generating, I guess I'm interested in how much of a change you have to get in the way people there – the patterns that people are using for care with doctors, hospitals, close to give providers to realize those savings? Are you changing significant amounts of their typical patterns of utilization to get that or is that sort of around the edges? And to the extent that you're doing this with the other Blues, I guess I brought it out and also asked you about any updates on you thought about Blues collaboration, some of the initiatives around there?
Gail Boudreaux: Thanks for the question, A.J. It's a great question. As I shared in my opening remarks, we launched the high performance network in conjunction with other Blues. And just to give a little bit of background on how it works, it really launched just beginning in January of 2021. So, it's a fairly new offering across the system. And it's available right now in 55 MSAs. So, most of those, but half of those, roughly half are in Anthem service areas right now, but we comprise about 56% of the U.S. population, and it's something we're going to continue to grow every year. So, I think that's important. The cost savings are significant. I gave you a range of savings anywhere from around 11% to up to 20%. Our goal in this, like a strategy, network strategy is focused on leveraging already deep provider relationships and to scale and simplify it and also focus on the high performing providers that we know based on our deep data across the country. So what we're seeing, you know, in our first offering, you know, we had a number of customers select us over 350,000, I think total members had access to it and our first entry, again, is about 10% to 15% of those who have access to it are picking the high performance network, we expect that to grow. Again, this is a new offering in January. But it's flexible enough to allow our local markets in partnership with other Blues to continue to build and develop that. So again, this is based off of our deep knowledge and deep information that we have around networks and our partnership with other Blues. So, thank you very much for the question. Next question, please.
Operator: Next, we'll go to the line of Lance Wilkes from Bernstein. Mr. Wilkes, please go ahead.
Lance Wilkes: Yeah, good morning. Could you just give an update on capital deployment priorities and what I was specifically interested in is, if you could talk a little bit about your focus and what you're doing with respect to, kind of value-based care delivery initiatives, including stakes in companies and things like that, and maybe contrasting that with your discussion on digital first, and especially businesses to cross-sell, and complimentary care delivery capabilities. In particular, I'm focused on where you're acquiring or partnering with companies as opposed to your organic build.
John Gallina: Thank you, Lance. I appreciate the question. So, first of all, I think our approach to the capital deployment is remaining consistent. We're looking to take approximately 50% of our free cash flow and utilize it for reinvestment in the business, as well as M&A and their deployment activities close to 30% for share buyback and 20% as dividends directly return back to the shareholders. And we obviously want to be very opportunistic and advantages associated with that, but, you know with that, I think Gail wanted to make a couple comments on your specific question.
Gail Boudreaux : Yeah, thanks, Lance. There was a lot in there. So, I'll try to try to capture each of them. I want to start with your, sort of underlying question, which is investments in the care delivery system. You know, as you know, our strategy first and foremost is to partner with primary care physicians in our local markets. And I've shared that on a number of times in this call. Part of that, again, is one in eight patients already carrying , we feel that that model really enables us to work closely with them, and that we can drive differentiated managed care performance by using the data and we've been investing in AI and virtual care to ensure that we can help them make better decisions. With that said, though, I think what's under I think, valued and under understood, not understood well, in terms of our investments that we are participating in the value created through our value-based relationships. So, where we can keep our members healthier and I think specific examples of where we participate in that value creation and invest is, you know our examples of CareMore in HealthSun, and recently our announced acquisition of MMM.  And another area where we've deployed capital, which I shared areas that enable and create new payment models, and those are the ones that can address the more complex conditions. And again, examples there would be MyNEXUS, Aspire and Beacon, where we’re leveraging that first and foremost across our Anthem membership to create value both for DBG, as well as Anthem in driving down overall costs of care, but also to sell externally. So, it's a bit of a double strategy there and I think, help support, you know, how we're using our capital to drive better returns, both for our customers, as well as Anthem internally. And then, you know, we shared at Investor Day a number of investments that we're making in digital to create the healthcare platform. Some of those are around consumer tools. Sydney, we've continued to advance where we are with Sydney Care. We're also investing in our health OS model. All of that’s wrapped around artificial intelligence to really drive much better decision making. And the last area that I just want to share is, we recently announced collaboration that's part of our broader innovation. A collaboration that allows us to partner with stakeholders across the health system called . Our goal there is to really support virtual care driving down costs and trend towards CPI, which we've shared, giving consumers access to basic health care needs. And this is again, another virtual care opportunity, whether it's via video, phone, text, or chat, looking for efficiency and quality. The partnerships with K Health enables us to provide access to virtual care. So that's an example of innovation, where we're investing as part of the overall healthcare ecosystem. So again, a lot of examples there, trying to give you a sense of both from how we're investing in the healthcare delivery system, and participating in the value that we create there, as well as in our virtual tools. So thanks very much for that question. Hopefully, we got to all the components of it. Next question, please.
Operator: Next, we'll go to the line of David Windley from Jefferies. Mr. Windley, please go ahead.
David Windley: Hi, thanks. Good morning. Thanks for taking my question. I wanted to drill into, kind of claims and your visibility into pent up demand and utilization, it seems that patient hesitancy has perhaps been a little bit higher in the senior populations. I think that's logical, but it also seems to be borne out in the data. And so I'm wondering if you could speak to the relative levels of deferred care between the books of business, and how much visibility do you feel like you have into what is scheduled? How much might come back, how much might not come back, and whether the reserves that you are keeping on the balance sheet at this point are a conservative position against the unknown, or more of a known position against what you're kind of able to assess in the system capacity? Thanks.
John Gallina: Thank you, David, for that one lengthy question. See, if I can respond to all of the items that you've focused on. You know, in terms of the claims versus the visibility, we obviously track that very, very closely. You know, we're evaluating pre-served, pre-authorization information on a daily basis, certainly understand that. We're looking at the types of care that are deferred versus those that are not deferred, and trying to assess that associated with, you know, the core underlying businesses. You know, it's still a little bit too early to have a noticeable shift in non-COVID utilization. But as I said, we continue to closely monitor our markets as vaccination rates increase. And, you know, in terms of geographic, there's probably not a big disparity at this point associated with lines of business. You know, the senior population has been vaccinated sooner. And so we are seeing a significant decline in COVID in-patient associated with seniors, which means that the non-COVID can rebound a bit faster. We believe that we've totally factored that in. You know, people were still able to largely get care in 2020, after the stay at home mandates for ease. So, you know, the giant backlog we don't think is quite there, the same way, and there are natural systems capacities as well. And maybe just to focus on your reserves that question at the end, we believe our reserves are very prudently stated, and that they are associated with a lot of the unknowns and uncertainties associated with COVID as opposed to the other part of your question. So, thank you for that and hopefully that addresses all of your questions.
Gail Boudreaux: Next question, please.
Operator: Next, we'll go to the line of Steve Valiquette from Barclays. Mr. Valiquette, please go ahead.
Steve Valiquette: Thanks. Good morning, everybody. Yeah, John, on the last quarterly conference call, you made some positive comments that with the $0.50 to $0.70 COVID headwinds built in the initial 2021 guidance of $24.50,  you still viewed $25.10 as a proper jump off point in 2021 when thinking about EPS growth in 2022 that could still track within the long-term range. I guess, just given the updated guidance for 2021 today with the increase as the moving parts, as you alluded to, I just want to confirm what you believe is the updated jump-off points this year when thinking about potential normalized 12% to 15% EPS growth for 2022? Thanks.
John Gallina: Thanks for the question, Steve. You know, as we discussed last quarter, you know, $25.10 was the level of earnings that we felt best represented or normalized earnings power for 2021. And we remain confident in our ability to deliver on the 12% to 15% growth target off of that level beginning in 2022. You know, it's really too premature to get any more specific associated with 2022 at this point in time, but we do feel very good about the $25.10 representing our core earnings or normalized earnings power is a jumping off point. So, thank you for the question.
Gail Boudreaux: Next question, please.
Operator: Next, we'll go to the line of Scott Fidel from Stephens. Mr. Fidel, please go ahead.
Scott Fidel: Hi, thanks and good morning. Had a question just on the Medicaid business and interested if you could just give us an update on what the impact was from Medicaid, from the risk corridors and experience rated rebates in the first quarter, and how that trended relative to your expectations? And then just how you're thinking about the tempo of government margin over the course of the year? First quarter was a bit below the long-term target, but obviously had the impact from the Medicaid rebates, I'm assuming. So, just thinking about how that – you think that's going to trend over the course of the year? Thanks.
John Gallina: Sure. No, thank you for the question. You know, Medicaid, certainly Medicaid is performing well. You know, we do believe that we have received appropriate  rates from our state partners. And we very much expect to end 2021 within our target margin ranges. Feel very, very good about Medicaid. On Medicare, maybe just to be very forthright about the Medicare business, finished the first quarter slightly below our target margin ranges, but largely for all the reasons that we've already identified. The elevated COVID cost, mostly in January impacted the senior population.  The reduction of the risk revenue did a suppressed 2020 utilization, which we've talked about in the last call is certainly impacting. And as you know, we have the continued payment of the 20%, DRG bump, and the 3.75% Medicare fee schedule increases impacting that line of business. But you know, those COVID factors are all transient. And, you know, we have great membership growth trajectory in Medicare, really improving that block of business, and we think that the future earnings potential for Medicare is significant and feel very, very good about the long-term aspects associated with Medicare.
Gail Boudreaux: Can ask Felicia maybe to comment a little bit just about the Medicaid business?
Felicia Norwood: Thank you. You know, our Medicaid business is continuing to perform well. We are very respectful that our states are going through a very challenging time in light of the pandemic, but we've been working very closely with them to make sure that the rates that we're receiving are actuarially sound and taking a view with respect to the long-term. If you know, we are at a point now, where roughly 50% of our states have already renewed and our states that renew in the second half of the year with respect to rates, we're engaged in conversations with them right now. You know, as you know, this is really an iterative process. We work very closely with our state partners to make sure that we achieve actuarially sound rates, but have been very mindful of the consequences of the pandemic and the recovery that needs to follow. So, as we think about 2022, we are very optimistic about being able to deliver performance within our target margin range of 2% to 4%. And we'll continue to work closely with our state partners during this time. Thank you.
Gail Boudreaux: Thanks, Felicia. And as you heard, I think we feel very constructive about those businesses. And as John shared with you a lot of the things that are really transient related to COVID-19, but overall feel very good about our core businesses. Next question, please.
Operator: Next, we'll go to the line of Ralph Giacobbe from Citi. Mr. Giacobbe, please go ahead.
Ralph Giacobbe: Thanks, morning. Gail, you mentioned the delayed decisions until 2022. First, just wanted to clarify that the 2021 selling season for 2022 or were you saying 2022 for 2023? And then just maybe if you can give us a sense of how much of your book is going out this year versus a typical year, and just any insights on how much is up for grabs more broadly, and maybe your opportunity to gain share within commercial? Thanks.
Gail Boudreaux: Sure. Thanks for the question, Ralph. Let me just clarify or answer your specifics. And I'll ask Pete to talk about the commercial market. Now in my prepared comments, I was really referring to this year selling season for national accounts where a lot of individuals differed from 2021 to 2022. However, we still, as I mentioned, had one of our most successful selling seasons ever, and I really credit Pete and his team for, you know, the focus of the products and innovation that they brought to the market, but it was in terms of pipeline, individuals winning, but Pete, why don't you comment a little bit more about the commercial market?
Pete Haytaian: Yeah, thanks. Thanks, Gail. And thanks for the question, Ralph. We were really pleased with how enrollment landed in the first quarter. We saw nice sequential growth of 159,000 in the quarter, excuse me, the same dynamics that I really mentioned in the past are continuing. First of all, from an execution perspective, as Gail noted, our sales continue to exceed our losses. And what was really nice to see, you know, this year in the quarter, again, is our fully insured growth. Our local group business grew nicely, sequentially. If you were to, sort of say, you know, what was a bit of a headwind, our growth could have been more if not for the economic impacts, again, associated with COVID, and the in-group change dynamics that really continue, and most specifically affect our fee-based business. But like Gail said, I feel very good about our positioning going forward, our execution is strong, our portfolio products, our choice is strong. And as we see the economy improve, we're very confident that we're going to continue to see our growth accelerate.
Gail Boudreaux: And Ralph just a quick comment on your other question about what is the season. It's really early in the national accounts selling season? So, we're, it's really developing at this stage. We are seeing some expanded opportunities. And certainly we'll update you as we get to the second quarter call where I have a little bit better insight. But overall, we feel really well-positioned. I think our offerings have been resonating quite well. Biggest issue for Pete right now is just the in-group attrition that came through in the first quarter. Next question, please.
Operator: Next, we'll go to the line of George Hill from Deutsche Bank. Mr. Hill, please go ahead.
George Hill: Hey, good morning, and thanks for taking the question. One of the things that you guys highlighted in the press release was the change in timing as related to PBM business, and the impact of selling integrated pharmacy and medical on the positivity of results. I guess, could you talk a little bit more about what you're seeing in the selling of the integrated medical and pharmacy business and the impact of the out of period adjustment? Thanks.
Gail Boudreaux: I’m going to ask Pete to address that. Thank you.
Pete Haytaian: Yeah, thanks for your question. You know, we mentioned this, but, you know, last year because of COVID, we did see a bit of hesitancy in terms of transitioning, pharmacy and transition of PBMs, especially on the upper end of the market, as you'd expect. That said, we are beginning to see and I'm very, very pleased with the progress we're beginning to see more activity. And to your point, the team is working very closely on the integrated value proposition. I think down market, we are definitely beginning to see good signs. Our win rate is improving on down market and the  is picking up. And at the upper end of the market, there's still a bit of hesitancy, but as I said, we are seeing RFP activity pickup for 2022. We are in the middle of that selling season right now. We are in a lot of finalist presentations, and we're across several different opportunities. I would say, it's, just like Gail said, as it relates to the national selling season, it's early as it relates to 2022 still, and I'd say over the next several weeks and months, we'll have better visibility on our wins on the upper end of the market headed into 2022.
Gail Boudreaux: Thank you. Next question, please.
Operator: Next, we'll go to the line of Robert Jones from Goldman Sachs. Mr. Jones, please go ahead.
Robert Jones: Thanks for the question. I guess maybe just to stick with Ingenio, you know, operating gains in the quarter were relatively strong. No, I was hoping maybe you could give a little bit more around the drivers there. And I do think in the press release, you did call out an out of period adjustment. Just wanted to make sure we understood that as we think about modeling Ingenio for the balance of the year. Thanks.
Gail Boudreaux: Thanks very much for the question. You know, overall, Ingenio has been performing extremely well, based on our expectations, and again, it's the group growth within Ingenio and sort of the strong work on that we've had. In terms of the one-time adjustment that was called out, it really is a true up in our specialty pricing. So, on a run rate basis, we still feel very good and bullish about it being in a 6% to 6.5% margin target. That's sustainable. So, as you think about that, overall, those are really the key drivers. I think Ingenio has really hit its stride in terms of our business. One of the things I think that's important to keep in mind that our first quarter 2020 results were somewhat elevated, artificially elevated,  because we relaxed the refill to soon provision as part of the pandemic, and the pandemic was intensifying here as everyone knows. So we – that resulted in a pull forward of earnings from the second quarter into the first of 2020. So, hopefully that gives you the insight that you're looking for. Thanks for the question.
Operator: Next, we'll go to the line of Josh Raskin from Nephron. Mr. Raskin, please go ahead.
Josh Raskin: Hi, thanks. Good morning. Are you seeing any evidence of an increase in utilization either pent-up demand or higher acuity resulting from, you know deferred care from last year?
John Gallina: Thank you, Josh. I think it's still just a bit early to see any noticeable shift in non-COVID utilization and pent-up demand. We are seeing some of our states like Maine and Connecticut have some of the highest vaccination rates were Arkansas and Texas appear to be a bit lower. And there's really not a big material difference in utilization levels between those markets. And I think part of it has to do with the comment that I made earlier in the Q&A session, that, you know, folks were able to get access to care in 2020, you know when a lot of the stay at home rules were relaxed. So, at this point in time, you know, we are taking a very cautious approach, certainly monitoring all the variables. But you know, we still believe that our original outlook for utilization is appropriate and prudent.
Gail Boudreaux: Next question, please.
Operator: Next, we'll go to the line of Ricky Goldwasser from Morgan Stanley. Mr. Goldwasser, please go ahead.
Ricky Goldwasser: Yeah. Hi, good morning. So, my question is on SG&A. I mean, clearly SG&A in the quarter was high, reflecting the investment in the enterprise. When we think about these investments, I mean Gail, you talked about everything that you're doing in digital, should we think about these as sort of front end loaded versus kind of like rest of the year? And then as we think about a specific investment, from your perspective, sort of what makes you most excited about and how is the relationship with Blackstone and K Health on the digital side relates to the internal investments, would love to hear a little bit more about that?
John Gallina: Thank you, Ricky. I'll start out by answering the beginning your question and turn it over to Pete to talk a little bit more about K Health and that aspect of your question, but you know, as you know that we continue to invest in new digital mobile capabilities to drive greater automation and enhance our customer experience, really, a lot of the consumer facing tools. You know, we're focused on improving the way we do business with our distribution partners. We have a new broker portal that offers distribution partners, a simplified digital platform to enable them to sell seamlessly. And we're standardizing our clinical and well-being solutions and the preset packages. Make it easier for our employers to understand and purchase the suite of products most relevant to your needs. So, I give those examples just to show you that your digital capabilities and digital investments are impacting every aspect of the company and every aspect of the business. You know, and that's with – also doing our system consolidation work that we've been focused on here for the last several years. In terms of the spending, you know, obviously, we did accelerate some spending here in the first quarter, but we will be spending on this throughout the year. The SG&A ratio will go down a little bit in the latter half of the year as our revenue accelerates, you know specifically when we go live with North Carolina Medicaid with some of the continued growth that we expect in core Medicaid with the special enrollment for ACA. All businesses have a drive to top line accordingly, but there's still a lot of spending left to be done in order to achieve our goals and expectations. With that, I'll turn it over to Pete to talk a little bit more about K Health.
Pete Haytaian: Yeah, thanks. Thanks a lot, John. And, you know, I'll just jump off of what Gail was saying earlier about the acceleration of digital on our product offerings and the importance of partnerships. And our partnership with K and Blackstone is really another example of one of these strong partnerships where we're developing an approach to accelerate the use of digital AI to really help drive more efficient and effective care with a differentiated consumer experience. Specifically, as it relates to this partnership, it builds upon all this. It's helping us offer direct to consumer, direct to employer and direct to ensure or product options that really enabled Anthem as the front door to healthcare. It's really creating this digital first experience where access to basic care needs can occur via, as Gail said earlier, text, chat, and videos with a physician. And if more acute care needs or in-person care is needed, it really helps facilitate or triage care to the right care at the right place at the right time. And so, yes, this is just another great example of a partnership that helps bring greater efficiency and a better consumer experience to our members.
Gail Boudreaux: Ricky, you asked an important question about which investments and pieces of digitally you should be really excited about? And I guess I wanted to address that directly. Because I think that this is really, our investments are long-term investments to drive growth in a business model transformation. And quite frankly, I think we're excited about all of them, but fundamentally what we shared at Investor Day, the digital platform for health, which is going to transform how we work and what we do both at the consumer level, as well as at the level of our care providers with our Health OS operating platform. Plus, we're also investing heavily in virtual care. So again, that goes back to my earlier comments around us participating in the value creation of that, all surrounded by the use of the data that we've had locked for a long time. So, ability to be predictive with AI. So, I'm excited about the business transformation that digital drives across all of our businesses, and I think that's really the core. To put out a sort of final point on how we think about the investments, as John said, you know, our goal is, again, this is to drive growth in our business, and we are committed to – this is our way to get to the long-term 11% to 12% administrative expense ratio that again we shared at Investor Day. So, thanks again, for the question. There's a lot of initiatives embedded inside of that, but I think fundamentally, it's about a business model transformation and a digital platform for health. Thanks for the question. Next question, please.
Operator: Next, we'll go to the line of Kevin Fischbeck from Bank of America. Mr. Fischbeck, please go ahead.
Kevin Fischbeck: Great, thanks. So trying to understand the moving pieces and the guidance, because you guys beat and then you raised by the beat, but then it seemed like half of the race was due to sequestration. You didn't change your view on the COVID headwind, so that doesn't seem to be an offset to the numbers. And then you said that the core business was performing better than expected. So, just trying to reconcile all of that, I guess maybe you just elaborate a little bit more when you say the core business came in better than expected, driving a raise, what exactly, you know is coming in better than expected. And if it's coming in better than expected, why isn't that leading to a larger raise, you know, through the rest of the year?
John Gallina: Thank you for the question, Kevin. And, as you pointed out, there are many moving parts associated with the guidance for the year. First quarter results of $7.01 were about $0.60 ahead of consensus estimates. And as you pointed out, the sequestration extension adds another $0.30 of upside. And then with all that, we also have the fourth wave of COVID as I've been more prolonged and anticipated. And also, just a month or so ago, we found out that we're required to increase the vaccine administration rates from $28 of those to $48 of those. You know, all-in with the, you know, with that core performance, we obviously feel very comfortable delivering the upside back to the shareholders and raising guidance, up to $25.10. In terms of core performance, you know, core performance is a lot of things. You know, it's the growth, you know, we've seen great core performance and better than expected in commercial, in Medicaid, in Ingenio, in Diversified Business Group, they’re all doing very, very well. And, you know, we've seen growth in all those areas. You know, the medical cost, as we look at the costs that have been incurred, plus the expectation of pent-up demand, we feel good about that. And the SG&A efficiencies on a run rate basis after we pull out some of the investment spending. You know, so we're really very bullish about how well positioned we are and what the future holds. So, we've raised guidance accordingly. But thank you for the question.
Gail Boudreaux: Next question, please.
Operator: Thank you. Our next question, we'll go to the line of Charles Rhyee from Cowen. Mr. Rhyee, please go ahead.
Charles Rhyee: Yeah, thanks for taking the question. You know, maybe Gail, I wanted to go back, you were talking earlier about, you know, the work you're doing, particularly for social drivers of health and a lot of new programs, a partnership that you were talking about, and particularly with Beacon. And you kind of made a comment about Beacon like it's trying – is that talking about transitioning from an onsite kind of service to be delivered through a retail, kind of model, because you talked about going live with a major national retailer, maybe can you talk a little bit more about how that actually works? What the economics are for Anthem and who’s paying for the service, is it still employers? Any kind of commentary there would be helpful?
Gail Boudreaux: Yes. Thanks for the question, Charles. Let me clarify a little bit about what the innovative model that we're building. One of the things that we've learned, both of our own employees, quite frankly, and the work that we've done in the community is that the social drivers obviously have a huge impact on people's health. And that has always been embedded in the core of Anthem’s strategy. The specific program that Beacon is working on is with a large national employer, basically, who is a retailer to help support all of those efforts within their own employee population. That's, I think an innovative product offering, I would think of it that way, as a way to connect all of these issues that affect employees.  We've had them, at Anthem, we actually built into our own employee benefit program this year; with something we call a health essentials program to help support people. And what we learned during the pandemic is that the needs, particularly the behavioral health needs, the needs to social services, access with caregivers, all of those things really weigh heavily on employers and impact their productivity. And their ability to quite frankly, come to work and be their full self, especially in an environment like this. So, we saw that need, built this innovative product.  It does include on-site resource coordinators to help with housing, food, and transportation. This is a product we think, again, very innovative, no one else has it in the market that we believe will resonate very much with our, particularly our large national accounts. It's something we've done in our government programs. I think what's not well understood for a lot of individuals is that the issues that affect that we put in – the programs that we put into place in our government programs affect individuals, consumers in our commercial markets, as well.  And so we're taking what we've learned from those markets and hope to scale it across all of our markets. So, again, a great question. We think it's a really innovative approach. And we think it's a great opportunity to offer a different solution for employers as they bring their employees back into the physical workplace. So, thanks very much for the question. Next question, please.
Operator: For the last question, we'll go to the line of Rob Cottrell from Cleveland Research. Mr. Cottrell, please go ahead.
Rob Cottrell: Hi, good morning. Thanks for the color on MyNEXUS, it sounds like that's primarily focused on the Medicare population today. Curious if there's opportunity to expand that. So, Medicaid and commercial members, and then also any Blue partnership opportunities that may come from, you know, the increased exposure to home based care?
Gail Boudreaux: Well, thanks for the question. I'll start and then I’ll ask Felicia to provide a little bit of color because she has worked closely with MyNEXUS, as you know, MyNEXUS will be part of our diversified business group. You know, I think MyNEXUS is really a great example of a fit within Anthem and our strategy that we shared with you at Investor Day, around managing integrated and multi-care services. And again, our strategy has always been around whole person care, providing that expertise. And this one, MyNEXUS in particular, offers an extensive network of home providers, including 9 of the 10, top national providers in high quality. So again, those are really important components of it. As we look at the, you know, in-home visitation authorization and time to care, all those things, what was great about MyNEXUS is that we had worked with them extensively, and we saw the value. So, this is a great example of driving value inside of our own population. Today, it is predominantly Medicare Advantage members. But we do see opportunities to obviously offer this to other health plans, because we think it's a highly valued service. And I’ll ask Felicia maybe to comment on the opportunities that are across our broader book of business, because again, we do think that the model works quite well. And we've seen nice returns. So Felicia?
Felicia Norwood : Yes, thank you for that question, Rob. And I will say Gail hit it well. We found this to be a very valuable asset for us from a Medicare Advantage perspective. But we certainly see the opportunity to take a look at the ability to scale this across other parts of government business as well. As you know, our duals are a key platform for us when we take a look at the opportunity for growth in our government business.  populations will be continued areas focus for us as we go forward. So this is an example of an opportunity for us to leverage this internally, but also across the blue partnerships that we have in government business and Medicare, as well as Medicaid. So thank you very much for that question.
Gail Boudreaux: And thanks, Felicia. One other thing that I would notice that MyNEXUS, you shouldn't think of it as just a standalone because we actually see the opportunity for really integrated solutions, combining home health post acute, palliative, and behavioral. So, if you think about what we do, and some of our other businesses like Aspire, again, our ability to be deeper in the home, this provides, again, an integrative opportunity. Thank you for the question. Next question, please.
Operator: And that was our final question.
Gail Boudreaux: Thank you very much. I guess we are done with our questions. So, appreciate all of the questions that we had today. And I want to thank all of you for joining us for the call this morning. As you heard and can see, Anthem has shown solid growth throughout this pandemic while continuing to provide critical support in resources to our communities as we combat this pandemic together. Our performance in the first quarter gives us confidence in our ability to capitalize on future growth prospects and deliver on our commitment to all of our stakeholders. Our success would not be possible without the hard work and dedication of our more than 85,000 associates who exemplify our mission, vision, and values. And I want to thank each and every one of them for all that they do each and every day. Thank you for your interest in Anthem, and I look forward to speaking with you in the future.
Operator: Ladies and gentlemen, a recording of this conference will be available for replay after 11:00 A.M. today through May 20, 2021. You may access the replay system at any time by dialing 866-430-8786, and international participants can dial 203-369-0937. This concludes our conference for today. Thank you for your participation and for using Verizon conferencing. You may now disconnect.